Operator: Good day and thank you for standing by and welcome to the Fiscal 2021 Annual Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  I would now like to turn the call over to Randall White, Chairman and Chief Executive Officer. Please go ahead, sir.
Randall White: Well, thank you very much. Yes, Randall White here and attending in the room with me is Heather Cobb, our Chief Sales and Marketing Officer; Craig White, our Chief Operating Officer; and Dan O’Keefe, our CFO. Now, normally we go to a piece where we repeat all the financial information, I think you’ve got it. We’re going to try to get to the chase here. We had an incredible year, the best in our history. Our sales were up like 81%. Our earnings were up about 121%. We paid down $7 million in debt and we increased our dividend. I don’t know what we can do any better here than we’ve done and yet our stock has been sold like a reasoned mule. So I don’t know what’s going on myself, so I’m really going over a lot of boring numbers that you already have. Why don’t we just open it up for questions? You just bring it guys. You tell me what it is that you think.
Dan O’Keefe: So, Angela, we’re going to open up the call to questions and answers here immediately. And you can just take the questions as they come in on the question and answer session on the leader board there.
Operator: Okay.  And you have a question from the line of Randy Freed with RL Capital.
Randall White: Hi, Randy. How are you doing?
Randy Freed: Hi, Randall. How are you?
Randall White: Good, good.
Randy Freed: I may have a couple of questions later, but I just jump on because of what you said. The only thing I can figure out is I talked to Dan on the phone. I can’t remember sometime in the last month or so and I asked him if you’re going to still be reporting sales figures every single month I do have for awhile, which usually come out between about the seventh and the 12th or so of the next month. And unless I missed it, I didn’t see anything for April.
Randall White: Well, you didn’t miss it. And so why did we stopped reporting monthly sales, right?Is that’s your question?
Randy Freed: Yes, I’m just more – I mean, I am a little curious, but basically I’m just trying to sort of answer your question. That’s the only thing I can figure out, but who knows.
Randall White: Well, that’s a good start and you’re right. I tell you last year that we just finished reporting here, March was down 25% and then April was up 60% and May was up 160%. Oh my gosh, we got to get this information because that’s drastic changes and then it went along that way and we wound up 81% ahead. And as you can see the increase, decrease towards the end of the year, but we’re up 81%. So now, we’re developing a little more in normal pattern by the way. And the monthly reporting isn’t quite as significant. And due to fluctuations in timing, I think we have a month to month quarterly reporting to us seems to be a more reliable disclosure of what we’re doing here. But it’s not a high degree thing, we’re at it. We want sales to go up 81% again. I don’t know that we’re going see that, but nobody here is not working towards that that goal. So, it just doesn’t seem as meaningful today because we don’t have a hundred percent growth report. But a good question though.
Randy Freed: Okay, thank you.
Randall White: You bet.
Operator: 
Randall White: You better start asking questions, don’t start telling stories.
Dan O’Keefe: I got a lot of them.
Randall White: Come on guys. Well, okay. You want me to tell you my story of why I think the stock is down? Well, here’s the deal. I’m the captain of the good ship paradise and I’m seeing out the good ship EDC paradise. And we’re sailing out to the sea of prosperity, all my shareholders. And all of a sudden, I look back and I see, hey, hey, I didn’t get on. What? Come on. So, I kind of steer the ship back down the shore, unless more people get on at a good price, so we can steam back out into the sea of prosperity. So that’s my story. I know you guys liked my humor. I know you did. Not a question, not one question you want know how tall I am, how much I weigh. If I want to know onto the NCAA Hall of Fame induction last weekend in Connecticut, it was me and about a hundreds of basketball superstars. I was the shortest one. Man, well, you’re going to have to listen to some boring stuff from Dan if you don’t ask a question. Thank you. Don’t be shy guys. Yes.
Operator: And we have another question from the line of Randy Freed with RL Capital.
Randall White: Hi, Randy.
Randy Freed: Hey, Randall, I’m just jumping in because I don’t know if you’re going to have questions at the end too, but I’m just trying to think of things. So I know you don’t give projections, but I’m wondering, we’re what, one to two and a half months into the new fiscal year. So, I’m just wondering, is there – can you give any kind of range of sales or earnings per share or anything at all? I know you really sort of can’t do that, and of course you don’t know that. But maybe people are thinking you know what, that year was one year and this year, maybe about the same or less, I mean, who knows. I’m just trying to think how to reason for the stock price.
Randall White: Don’t challenge me that I can’t do something because I can do anything I want to, because I’m old and I’m a CEO.
Randy Freed: Right. But I don’t want you to get in any trouble, okay.
Randall White: You know what, I don’t get in trouble. Here’s the story. If someone, one year ago, today was on this call and says, Randall, what do you expect for this year? You think I possibly could have expected that we would be up 81% and the largest year in our history, you can go from $113 million to $208 million? I wouldn’t have. So, to ask me today, I’d know just about as much as I did a year ago today. But I will tell you this, I’m going to turn you over to Craig White. And Craig can give you insight on what we think about our growth potential.
Craig White: Well, so we got a $6 million CapEx project to expand our productivity in the warehouse. That’s getting ready to go live in the next few weeks. So, we can go from our $205 million to roughly $400 million to $450 million without multiple shifts. So we’re anticipating growth, continued growth where we’ve got the warehouse operations capacity to handle it. And we’re ready to go. So we’re absolutely expecting continued growth.
Randall White: That’s a forecast from somebody out there doing it. I looked down the people on this call. I know some of you guys, surely somebody has a question. You all not read the papers about things in the industry or other companies in our market segment that might want to ask you a question about, or maybe about headcount consultant growth, or I’m trying to throw out some bones here for you guys, because you can bring anything you want to this table. I’ll answer any question you have. Okay.  I know you.
Randy Freed: We’ve spoken a couple of times. So since we don’t have the numbers for April specifically, can you just give us an idea of how you see things trending compared to last year? Like especially as you get into the comparable, second, third quarter, fourth quarter, like how - like what is the plan basically to compete with those numbers?
Randall White: Okay. The first quarter in this year that we just finished was up about 40% and that was too much carrying a month down and it just exploded on us. So this year, we look at more historically aligned numbers. And I think I was advised that I couldn’t tell you that I’m going to be happy with the quarter. So that’s not a forecast. You know guys, I say stuff on hand and the people want to come at me, but we spent $6 million to double our capacity. That’s what we think. And we put our money in there to be able to handle the business. And now we’ve got 60,000 salespeople out there and we’ve got a really prolific national sales manager, chief sales and marketing officer who knows how to make those growth jump high and run fast. And so she’s been here for about 10 years and it happened last year. And if you think we’re not going to be happy with the growth again, where you’re wrong. So as for forecast, I think we’re going to have a really good year. What do you think, Dan?
Dan O’Keefe: Well, it’s cloudy in Oklahoma. It’s been raining here. We may have to build an arch down here in Oklahoma, believe it or not. But that’s how we feel about that, we’ve invested $6 million just to double our capacity.
Randy Freed: Okay. Okay. And maybe you could just tell us a little bit about the investor relations firm and what the plan is for them, what they’re going to do for you guys over the next year? I know we’ve talked potentially about a new investor website, but anything on that?
Randall White: Well, yes, I’ve been here a long time, probably older than some of you people are, but I’ve been here 35 years. I’m the third longest tenured CEO in America, behind Warren Buffett and Rupert Murdoch. But, gosh, we – I always thought that technology would reach everyone, and we didn’t have to go tell our story that you guys find it. But when we agreed to $100 million, we became a different company and we’re viewed differently and then $200 million. And so it’s not that I don’t think that I got the best story out there and tell the best, I do think because of things like in last week stock dropped in fuel economy, and I thought it was time maybe to have a professional higher person to guide us a little bit. He can get us in front of people at these regional meetings. That’s what we do best. I’ll say it, I love to get up in front of in these sessions and talk about our company because I love this company and what has been to a lot of people. Now on your other question about the corporate website, that corporate website is not our main website. You think it is, you want to know our best corporate websites are, although 60,000 salespeople who use that to transact business. Those are income producing activities. That corporate website is a front door. And I will tell you, it’s not a pretty front door. And so about three weeks ago, we had this conversation and we do have in plan to upgrade and make that a little more professional a little bit. Today we have expanded our resources to making our income-producing websites as mobile and competitive, because I’m going to tell you what, we got young women out there now that want to punch your phone and have it delivered. And so we’re trying to be compliant with that. And we have a great story and I think Steven and his group can help us get in front of the right audience to hear it. So that’s why we committed that. I’d never done that before.
Randy Freed: Okay, great. Thank you.
Randall White: Okay. Thanks.
Operator: And your next question is from Dennis Amato . Please go ahead.
Dennis Amato: I just want to ranking of revenue.
Randall White: Breaking up, you’re breaking up.
Dan O’Keefe: We lost him.
Randall White: We were losing.
Heather Cobb:
Dennis Amato: Any difficulties.
Heather Cobb: Now you’re really tough.
Dennis Amato: Okay. I don’t know what’s wrong with the phone.
Heather Cobb: That’s better.
Randall White: That’s better. That’s better.
Dennis Amato: That’s better. I had to go outside. Yes. I have two thoughts. One is I think –
Randall White: Go, go further.
Heather Cobb: I think we’ve broken. We lost you again Dennis.
Dennis Amato: Okay. Could you hear?
Randall White: No.
Dennis Amato: Okay. Well, I’ll give you a call directly.
Randall White: Absolutely. All right. Are you from Tulsa?
Dennis Amato: No, no, no. I’m from Cleveland.
Randall White: Okay. Cleveland must be cloudy in Cleveland too. That’ll Ohio or Oklahoma. All right. Hey, we’ll talk. Call me.
Dan O’Keefe: Angela, you can take us to the question.
Operator: Your next question is from David Eikenberg. Please go ahead.
David Eikenberg: Hi. Can you hear me well?
Randall White: Yes. Great.
David Eikenberg: All right. So congratulation on the nice financial results. I have been following your company for a little while, and I’ve been very impressed by the results that you have published for this fiscal year. And the questions that I have are relating your first question as for why the stock might have gone down despite the good results. I was wondering actually and about the industry you’re in like specifically books – physical books, what do you think of the future of physical books? Is it the some kind of medium that is declining in terms of usage? How do you envision the future of books and what is the impact of that you think it might have on your company?
Randall White: David, that’s a good question. You know what, about 10 years ago or more a guy told me, he said, call me and said, you know what? You’re going to be out of business in 10 years, because all this books will be out of. Nobody will want books, because they only read on the iPads and maybe didn’t have iPads and on electronic devices. Well, I tell you what 10 years later, and we just had a record year, because let me tell you something, David, if you think anybody wants to curl up in bed with a good iPad and raise their children, I don’t think that’s happening. Our books are chewable, washable, drop them and they’re good. Electronic device and let me end this with this. The latest surveys or information we have from the industry is that the reading retention from an electronic device is 75% from an actual book. So if you want your kids reading on an iPad, well, they’re going to be 25% behind those guys who buy our books. So just a warning to you, there’s literacy police out there. So they’d be careful about trying to outlaw books, because they’re not – we’ve not seen one dip ever in the sale of children’s books. I think electronic devices are more for adults. We get on a plane and we know we have a bunch of books stored up, but a children’s book touchy, feely, curl up in bed read them a story that’s a book and it will be forever, but that’s my opinion.
David Eikenberg: All right. It’s makes sense. I think makes sense. That’s what I thought as well. A book is something that you can hold and there’s – I think there might be part of the learning process of learning to read is related to the fact that to holding the object and then surely the – yes, it makes sense. And then another question I was wondering is, do you think, how do you position yourself in relation to other players in the industry like Scholastic and like bigger distributors who sell to libraries and school, you have a plan to go buy these bigger players.
Randall White: Well, I have Scholastic very well. I do know Scholastic very well and the CEO for many years. Yes, we have a plan. We have a whole school and library division. And by the way, if you want to forecast, let me tell you what we have about $30 million of sales that we didn’t get last year, because schools weren’t open for book fairs or books, like, if you go to Green Corn Country Festival, our books where people selling directly to the public in an event about $30 million. Well, it’s coming back, we’re starting to get school and library orders again, Usborne’s are open up, people are getting out of their house. And so we think there’s an upside in that business. And yes, we’ve had a plan for school and libraries for many, many years.
David Eikenberg: Thank you. And I have another question it’s probably the last one for me. I was wondering, because right now, what I think, I think that the evolution of your company at this price – at the price that it is today, for me it seems inexpensive relative to the fact that you have had a very nice growth and the fact that the return on capital, as a company is above average, I would think. So my question is, is there a way – what is your long-term vision or long-term objective for the company? It can be financially speaking or quantitatively speaking. So where do – where would you like to be years or in 10 years that will justify that maybe the multiple would be higher than now.
Randall White: Yes. Okay. Can I make one other point when you talk about competition with other publishers? We have a division – we have Usborne books and we’ve had them for 35 years and they are the gold – absolutely gold standard in children’s nonfiction. Any publisher in the world will tell you that. And on the other side of the business Kane Miller, we are able to buy from other publishers mainly for fiction. So consequently, we buy from the major publishers around the world and bring them into our line and publish in the United States. So when we go to Bologna for conferences were people present products that they want to be solely United States, we get first crack. We used to get what’s off the bottom of the barrel. Now they come to us because, we’ll give them an order for 100,000 copies and I’ll tell you that gets your attention. So that’s what I’m telling you about the other publishers. We’re not competing with them, they’re funding their products into us, their best ones now, because our market is growing so fast. So that question and where do I see long-term? I think I want to get somebody a little younger on this line to talk about long-term. Hey, Heather, you’re a little younger than me.
Heather Cobb: Thanks. We could answer it with numbers or qualitative. I just wanted to bring up going back to some of the forecast and what we’re thinking will happen as far as being prepared to double sales. On the direct sales side, especially one of the nice things about being indirect sales is that our market is just huge. We can try to get into not only schools and libraries, but also the homes of families and communities across the nation. And although we have been around as a direct sales division for over 30 years, I would say one of our long-term goals is to truly become a household name. And that may sound crazy. But we still have of the 55,000 or 60,000 sales consultants. We hear story after story. When they host the party, one of the first questions they ask is how many of you have ever heard of Usborne Books & More, or Usborne and Kane Miller Book. And they still have several people in each of those parties that have never heard of us. And so for me personally, in charge of the sales and marketing that’s one of my long-term goals is to make us a household name, so that people come to us first which they do once they’ve shopped from us the first time. But just getting it out there, so people know who we are and that I think in turn will get us to that doubling of sales and more and more sales consultant.
Randall White: And to reiterate that I’m driving down the road in my neighborhood yesterday and about a block and a half from my house, there is a big sign or let me know that there was an OSU grad in there, which is me and I stopped. Well, my wife had already found them and given their children some books, but they had never heard of it. They live a block away from me and then live in Tulsa and they never heard of it. So I promise you, there is a large market that we haven’t touched. And on one other thing when Steven Hooser was hired, he interviewed me and he says, what is your 10-year plan? I said I’m going to tell you what, you look around his room and we’ve got Heather, Dan and Craig, that’s my 10-year plan, because I might be on the other dirt in 10 years, but I plan on being here, but we have an incredible staff here. Heather is the best in the direct selling industry. Dan comes from a $400 million company with much more financial expertise. Well, not more than me, but he blinks a company a lot more expertise. And Craig has been here 25 years. He lives in my house. And he’s grown up this business and he’s now the second largest shareholder. And so I have a lot of confidence in the long – sorry, I’ll curious here. I have a lot of confidence. What about Heather? What do you think about them bla, bla, bla?
Heather Cobb: He has told us that. He has a lot of confidence in the team that, that you’re hearing today, as well as our teams that we work with every single day to pull off all the things that we do.
Randall White: Yes, they’re awesome.
David Eikenberg: And one of the things that, that we accomplished this last year in our growth of 81% as Randall was mentioning was, operationally we had some challenges a few years with rapid growth and through the – Craig, do you want to talk about some of the accomplishments of this last year with our operations and IT?
Craig White: Yes. So three of the rapid growth, obviously we had to bring onto the second shift, which was maybe the most challenging is getting people to work in that environment, well, in our country’s environment, but we never got more out than two days. We were – we shipped everywhere within two days throughout the fall announce with the 81% growth. So, our operations are there. We’re now adding the new CapEx project, which will be able to help us double so operationally we’re doing great.
Randall White: So, I got a little fired up there, but I tell you when you’re here 35 years and it’s like your children, and when someone sells a share of stock, I can’t take it personally. I want to know why. Why would you sell stock in this company today? And I want you to tell me, you guys are fund managers. You have investors. Tell me why today you would sell a stock, a share of EDC. You might want to, hey, this open forum. Tell me. Our job is to build sales and earnings. And we’ve done that, increased the salesforce to 100%. And we’re moving into the New Year with plans to double our sales. So, what is it out there that would make someone sell a share of stock and value us at less than a utility? I don’t quite, because people asked me, I say, ah, sometimes we get painted with the same brush as other people in the industry that has nothing to do with us. And I don’t know if there’s an elephant in the room, because I just read a report today about that. And guys, we operate a 100% honest ethical company. I’m going to tell you how it works. It’s very simple on a $10 book, retail book, we generally pay about $2.50 and as we grow, that’s coming down because of volume. The marketing expense is about 50% of the dollar that’s in the either, whether you sell it to Barnes & Noble. Barnes & Noble will pay $5 for $10 retail book thereabouts, and on the UBAM side, the direct sales side, the commissions overrides, and trips, and cities all that comes out about the same. We make about the same amount of money from our direct sales as we do selling to retail store. And by the way, we’ll take a thousand people to Hawaii in July, a thousand people. And you know what that was all in those numbers did you already seen a record profits. That’s covered all of that. That’s all accounted for. So, we pay out, we paid out $80 million plus in commissions and overrides for our field salesforce and you’re going, oh my gosh! oh my gosh! oh my gosh! what? I hope we make $180 million next year, because the more they make, the more we make, it’s a very simple formula, there’s nothing deceptive about it. There’s we don’t make any excess demand claims. It’s just a good book at a good price. And that’s what you see in these sales figures and product figures. And those 60,000 people they want to make more. And so that’s what I look at down the road.
Dan O’Keefe: Really, no more questions.
Craig White: And our stock dropped $3 in a week and nobody has any angle or any thought or question about that. I mean, besides those actual ones we’ve already had. Thank you, Aaron, started to think I’m talking to myself.
David Eikenberg: I’m back. So I just, I have a little bit of insight here. So one of the things, obviously I think that’s impacting the stock is that it’s seen as something that benefited by the pandemic and companies, a lot of sectors that have benefited by the pandemic, have sold off recently. And the reopening stories are doing better in a lot of cases. So if you guys are able to continue to perform over the next several quarters, obviously that’s going to do a lot for your stock and for confidence, I think that the investor website is going to make a big difference too. One thing is that, just in terms of how – I know that you’re restricted in terms of what you can say about your sales consultants and what they make, but I don’t know if there’s any investigations that you’re doing, maybe with your investor relations firm in terms of figuring out what it is, you can’t say, like this for example, can you say – can you provide the percentage of revenues produced by, your top 10% of consultants or consultants that have been with the company for a certain period of time, like say for over a year or over 18 months. That might help people kind of understand that business because right now, if you looked at, if you look at just the consultants, I mean, obviously there’s a lot of turnover in the consultants on a yearly basis. I mean, if you look at the 10-K, I think that 90% plus were actually acquired during 2020 other consultants by the end of 2020, 90% of them were acquired during the year. I don’t have the exact number, but it just–it would really help if people can kind of understand the structure and where? And obviously you’re restricted on that, but that is something that I think would definitely be helpful. And then the website for explain things would be helpful as well.
Randall White: Hey, Aaron, I don’t kind of think how much tickets about anything. I’m going to tell you what happens here. And that is, we started out with 30,000. We ended up with 60,000. And how many people signed up. We have some very aggressive and happy sales consultants that may tell the next door neighbor. Wow, I’m doing this, and I made that. What the FTC doesn’t want you to do is say, well, this person earned 400,000, which we have some people who do, and they don’t want you to tell you that because what about person didn’t earn anything? Well, you want to look at this company. You want to compare my salary. I make money buying a building and you should be allowed to have to make a 20,000 and I’ll make a little bit more. So if you want to do averages that would be the same thing. We have people who sign up and never sell a book. I’m fine with that. We’ve got samples and little termites out there and each one of their house, maybe molds or whatever, because they love the books. And the next, it may be a year later. In the meantime, it’s another customer. They never sell anything for six months. They go off the active list. And so, yes, it’s a normal churn like that. And it’s not that the 30,000 people we had to start with are gone and we got 60,000 new people. It’s not at all. If somebody and they were selling things, we’re good with that. And again it’s a business, this direct selling business. And what you need to look at is how many active salespeople you have. It doesn’t matter how many didn’t sell, but that’s what the FTC wants. We want to see the people who earn the least, well, the people earn the least would be zero because they never sold a book and nobody makes any money, till someone sells a book. And again, you saw the formula 25:25:50. It’s been that way for 30 years. It’s an honest, ethical business. And the reason I am in it. I will tell you this. It’s not that I’m in love with direct selling. It’s because how does a little company in Tulsa, Oklahoma penetrate a market, that’s dominated the major publishers. Well, I saw what your direct selling convention. Oh, my gosh, I saw these people selling a $1 billion and wow. And so now we’ve done this, and now we’re getting very big products from the major publishers. We buy from McMillan. We buy from Quarto, we buy from Random House. We buy from everybody and get their best products. And that’s how we built it. And I think I was going to have Heather talk about that too a little bit.
Heather Cobb: Yes. Aaron one of the things I did want to touch on is a little bit of your question of not knowing what we can disclose as far as income. So one of the things that being in the direct selling industry that we try to do is we are producing an annual what we’re calling our income disclosure statement. While it’s not required, it is something that is requested of the various different direct selling companies. Here’s the challenge with that. Everyone reports different numbers. You don’t – they’re not asking you to report the exact same statistics or the exact same averages, and so we kind of get an opportunity to present our own findings. But even in doing so we’re as open and honest with everyone as we possibly can be with what the potential is for the company. I will tell you that our Number 1 earner is definitely in the six figures. Our top 1% to 1.5% of our earners are average six figure earners. But we’re a direct selling company. And so as Randall said, we have plenty of people that don’t ever really sell anything. That’s just the way that the market goes. That’s just the way that the industry is. So depending on if there’s specific that you’re looking for, we definitely can pull some of those numbers, but we do already provide some of those to our field so that they can be fully aware and we can be as transparent as possible with what the opportunity looks like.
Randall White: One other point on this is you have to look at this company differently. Look at we don’t expect 30,000 people on average of $100 million, $3,000 we don’t expect them to sell 6,000 to double our sales. What we want them to do is have 30,000 more, sell 3,000. That’s the direct selling model. And when you do that, you throw it up against the wall and some of the sticks, there’s people who think, Oh, man, I want to do that. Yes, well, they never do. And I was fine. We don’t lose any money. And there’s a Luke’s out there. That’s the way this works. And the only thing you really need to look at is how many people do we have selling? Well, we got about 60,000. We had about 30,000 a year ago. And that’s how we doubled our sales. Can we double that next year? I don’t know. There’s – I think its unlimited number of people, especially what’s happened in the past year. So many people got laid off or work from home, and some of them joined us. Some of them stayed here because we’re more stable than where they worked. So, all these things go into forecast, which we kind of anxious ourselves to see how this all folds out, but I’ll tell you what we help it because Heather knows how to provide incentivize, yes, motivate.
Dan O’Keefe: And I’ll also expand a little bit, Aaron too, in the 10-K we disclose our 60,000 consultants. We have different levels of consultant statuses. And the first level is a consultant that signs-up and as Randall said, some might sign up and have a goal of having an extra money for a pizza night a week. You can go out for pizza with their family. Some might want to just have enough money to put their kids through ballet lessons and things like that. But then as you see in our different levels, some of them look at it more of a business and want to recruit consultants below them and grow their income possibilities. And that’s what you see with your different level of leaderships in our consultants. And we have several levels of leaderships and those, once you’re moving into the leadership levels, you are serious about the business and wanting to make this, not just a non-traditional supplemental income, but trying to make this a primary income source. And we have a lot of consultants now that, this is their business. This is their life. This is how they feed their families and buy houses and cars and it’s a full-time activity.
Randall White: And have retired their husbands in some cases, but it’s, most people will not last year. So, but I’ve been doing this for 30 years and people signed up and they never thought they’d making money. And they want to get some good books. The first thing, so I make a little money and go, well, that’s kind of fun too. And I go around to the regionals and her husband’s come and said, well, you know what? I come home and she didn’t have dinner. Oh man. Okay. Well, I’ll try to explain to them that we try to, just businesses try to do the, for the family, not to the family and to get the husbands on board. And you might be surprised how many are not; they still want 6 O’clock dinner on the table and don’t want to help their wives in the business. There’s all kinds of things that going to what affects, how successful a person is. But by and large, you need the family support behind you. Because if you involved in the lousy evening, then maybe the husband has to babysit, which we call parenting, not babysitting by the way. And that so many, many things going into this. I don’t, I’m not another great selling, but there isn’t a way for this company to have $200 million in sales and have the major publishers in the world, contact us to look at their very best book they have coming out because they see what kind of sales that we’re generating. You can imagine six years ago, seven years ago, we didn’t have 25 million and six years ago, we made 875,000 pretax for the whole year. So we have people contacting us to consider, we had a publisher this larger than as born, flew to Tulsa, met with me and he said, I’ll bring my staff over here just to create books for you. That’s the kind of market they see in our company. So our product line keeps getting better, which is another factor. I don’t people understand that they come to us and say, wow, look at this. Heather, the story about that as a Goodman went to millennia and a major company contactors said, come by here first, because we think we have a great book and we want you to at first crack at it. Well, that didn’t happen a few years ago. Like this builds the strength of our line. And it just keeps getting better. So we think is going to continue and grow. We are in the direct selling industry, most of which are beauty and health products, not us, that’s not what we do. And so, we’re gauged by that somewhat. That’s okay, I don’t care what they do, none of my business. I know what we do. And I go out to regionals and I tell them, if you find one thing about this company is not 100% honest and ethical, you tell me and I’ll fix it, because that’s not me, that’s not what I do. And I’ll tell you, if there is 1,000 direct selling companies, we’re probably 999 on list, and we contacted with FTC for something, because we just don’t. Our books are priced on the back from the publisher and they sell at the same price in the bookstore as they do, when we got a salesperson out there in the field, that can’t be more fair. You pay the very same price to buy from a sales consultant, as you would from a bookstore, you just don’t have to go to the bookstore, you can – she can tailor an entire library for you with the knowledge he has of our products. So direct selling has been a very nice tool for us, we use it, we use it honestly and ethically, and that’s how we built this business. I put you all asleep. All right. So this is – Angel, let’s have our last call for questions.
Operator: 
Randall White: Going, going, we don’t have an option here, do we? As you guys, I love this company, I’ve been here 35 years, and I want it to be $1 billion. I want to have $1 billion of educational books in the hands of families across America. And I never thought that would happen, but I didn’t know we were going to sell $200 million last year either. So I’ve got big goals and big dreams here and never doubt how impossible it all may be, so we’re at it and we have a very competent staff here to make it happen. So – no questions. Okay. Hey, it’s a good group. I see the guys on the line and I appreciate you listen to our story. And I – this company is way undervalued guys, but that’s your job, not mine. Our job is to produce the results we did now, whether or not you present your fund people or not, it’s – we’ve done what we can do. And I can tell you what, we’re 100% added to do it again. So thank you guys for listening to our story and looking forward to the next call.
Dan O’Keefe: Thank you, everyone.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating, you may now disconnect.